Operator: Good afternoon, and welcome to I.D. Systems' Fourth Quarter and Full Year 2015 Conference Call. My name is Lithway, and I will be your operator for today's call. Joining us for today's presentation is the company CEO, Ken Ehrman; CFO, Ned Mavrommatis; and COO, Norm Ellis. Following their remarks, we will open up the call for your questions. Before we begin the call, I would like to provide I.D. Systems' Safe Harbor statement that includes cautions regarding forward-looking statements made during the call. During the call, there will be forward-looking statements made regarding future events including I.D. Systems' future financial performance. All statements other than present and historical facts which include any statements regarding the company's plans for future operations, anticipated future financial position, anticipated results for operation, business strategy, competitive position, company's expectations regarding opportunities for growth, demand for the company's product offering other industry trends are considered forward-looking statements. Such statements include, but are not limited to the company's financial expectations for 2016 and beyond; all forward-looking statements about risks, uncertainties and contingencies, many of which are beyond the company's control. The company's actual results, performances or achievements may differ materially from those projected or assumed in any forward-looking statements. Factors could cause actual results to differ materially, that could include amongst others, SEC filings, overall economic and business conditions, demand for our products and services, competitive factors, emergence of new technologies and the company's cash position. The company does not intend to undertake any duty to update any forward-looking statements to reflect future events or circumstances. I would now like to remind everyone that this call is being recorded and made available for replay via a link available on the Investor Relations section of the company's Web site at www.id-systems.com. Now, I would like to turn the conference call over to I.D. Systems' CEO, Mr. Ken Ehrman. Sir, please proceed.
Ken Ehrman: Welcome everyone, and thank you for joining us today. After the market closed, we issued our results for the fourth quarter and full year ended December 31, 2015, in a press release, a copy of which is available in the Investor section of our Web site. 2015 was a very challenging year for IDSY and for me personally. It was difficult to maintain our conviction to continue making the necessary investments to create world-class products to support our world-class customers. The I.D. Systems team in New Jersey, Texas, and Europe worked tirelessly to achieve our objectives of bringing the best IoT technology to unserved markets, and I am extremely proud of our accomplishments. We made meaningful progress on our new key initiatives to optimize our internal processes, accelerate growth, and reduce costs that are reflected in the fourth quarter's financial results. By leveraging our investments in automation technology from I.D. Systems 2.0, we significantly lowered our operating expenses and improved our gross margins, which has made us a much more efficient organization overall. In fact, our total operating expenses for the fourth quarter were at the lowest levels in more than five years, demonstrating the positive results of the cost reduction program we implemented in Q2 and Q3. But these programs are not just about cost cutting. The systems developed under the IDSY 2.0 initiative were focused on automating the most labor intensive elements of our system deployments, allowing us to profitably grow revenue and margins as our customers expand their implementations. The bottom line is that we should no longer be the rate eliminating factor for growth. 2015 was highlighted by several operational successes, including achieving record unit sales in our Transportation Asset Management division since we acquired the business in 2010, implementing a new go-to-market strategy for our VMS solutions, as well as completing our VAC4 product line, the most powerful and cost effective vehicle management solution in the industry. But before I comment further, I would like to turn the call over to our CFO, Ned Mavrommatis, who will walk us through the financial details for the fourth quarter and year. Then Norm Ellis, our COO, will provide an update on our products, channel partnerships, and customer pipeline. And finally, I will return to discuss our execution of strategy, strategic initiatives, and outlook for 2016. Ned?
Ned Mavrommatis: Thank you, Ken, and good afternoon everyone. Now, to our financial results for the fourth quarter, end of December 31, 2015; our revenue was $10.2 million versus $12.7 million in the fourth quarter of 2014. The decline was primarily due to a 32% decrease in our vehicle management system's revenue as we began selling our new VAC4 product that has a lower upfront price, but high margin recurring service revenue. Recurring revenue for Q4 2015 increased 30% to $5 million or 49% of total revenue from $4.5 million or 35% of total revenue in the same period a year ago. The increase in recurring revenue was primarily due to a 62% increase in VMS recurring revenue to $911,000 in Q4 2015. Our gross margin in the fourth quarter of 2015 improved 1,000 basis points to 45% from 35% in the same period a year ago. The improvement was primarily due to customer signing long-term, higher margin service contracts, as well as increased efficiency in the company's VAC4 installation and training process. Turning to our expenses, our R&D expenses were down 54% to $1.1 million from $2.4 million in the fourth quarter of 2014. The decreases were due to the completion of product development projects related to I.D. Systems' 2.0 strategic initiative. Our total operating expenses for the fourth quarter of 2015 totaled $5.6 million, down 38% from $9.2 million in the same period a year ago. As Ken mentioned, our total operating expenses for the fourth quarter were at the lowest level in our company's history. We plan to maintain this level of operating expenses in 2016. Our GAAP net loss for Q4 2015 improved to $970,000 or $0.08 per basic and diluted share from a net loss of $4.6 million or $0.38 per basic and diluted share in Q4 2014. Our non-GAAP net loss for Q4 2015, which excludes stock-based compensation, depreciation, amortization, and other non-recurring items totaled $433,000 or $0.04 per basic and diluted share. This was a significant improvement from a non-GAAP net loss of $3.2 million or $0.27 per basic and diluted share in the fourth quarter of 2014. For more detail on our non-GAAP metrics, please see the reconciliation to GAAP terms in the supplementary tables of today's earnings release. Now turning to our balance sheet, at December 31, 2015, we had $6.4 million in cash, cash equivalents, and marketable securities, which was up 4% from the prior quarter. We also generated $645,000 in cash flow from operations in the quarter, driven by better working capital management. During the fourth quarter, we also established a $7.5 million revolving [ph] line of credit to provide us with additional financial flexibility. The credit facility better position us to take advantage of the increasing demands of our technologies. This completes my financial summary. For more detailed analysis of our financial results, please reference our Form 10-K, which will be filed by March 31. Norm?
Norm Ellis: Thank you, Ned. The key operational success in 2015 was the enhancement of our next-generation VAC4 product. Customer response, particularly to the product have been strong with virtually no returns or service calls from the customers. In fact, we experienced zero customer attrition throughout the entire upgrading process. This achievement was a result of our dedicated sales and customer service teams who work closely with our customers as we made improvements on our solution. It was also the result of a new dashboard solution we have implemented for our operations which provides real-time visibility into the status and system health of our deployed VMS units. This new system allows us to address any technical issues quickly and effectively. We believe this will produce higher customer satisfaction and better insights in our customer's systems and its use. Along those lines, we launched PowerFleet IQ and VeriWise IQ, our software earlier this year. This next-generation supply chain analytics platform assesses the performance and utilization of forklifts and industrial trucks, as well as containers, trailers, and other transportation assets. PowerFleet IQ and VeriWise IQ provide a holistic view of asset activity across any enterprise supply chain. The systems generate assets performance metrics, site assessments, enterprise wide benchmarks, and peer industry comparisons. The analytic solution benefits facility and fleet managers, as well as corporate executives by identifying opportunities to improve asset management and safety, while measuring asset and system performance on an ongoing basis. Our new IQ analytics platforms build on our track record of industry first and innovations, which continue to improve the critical business intelligence we provide the customers on their supply chain assets, measuring asset performance against our unique database which encompasses hundreds of millions of assets activity hours across more than a decade of fluctuating economic activity. This software customers gain unparallel insights not only within their enterprises, but across their industries. We believe the depth and quality of our supply chain asset analytics is a game changer for large enterprises with extensive material handling or transportation asset operations. Our technology continues to be the key driver of recurring and new businesses for I.D. Systems. Our TAM business experienced record sales in 2015, demonstrating the performance and acceptability of the products we developed in our I.D. Systems 2.0 initiative. December marked our highest month of VMS sales in 2015. This achievement reflects the increase in demand for our innovative and field-proven solutions as well as the growth of the VMS market for tracking and managing industrial trucks. We continue to establish I.D. Systems technology as the global industry leading standard for enhancing safety and improving productivity on industrial assets. Along those lines, we recently secured a series of purchase orders from one of our largest customers, a leading global consumer package goods company who continues its global rollout of PowerFleet. Since 2009, we have worked with them to establish our technology as a leading standard across all other distribution centers in North and South America. Their continued adoption of our technology demonstrates our progress penetrating key enterprise accounts. During Q3, we were selected by a large U.S. based automotive manufacturer as its exclusive North American telemetry provider. This new enterprise customers recently placed a series of purchase orders to outfit its Northern American based industrial vehicles with our PowerFleet VMS. While our relationship with this customer is still in the early stages, the foundation is in place for enterprise type orders which represents the largest single opportunity for I.D. Systems to date. This win demonstrates the effectiveness of our go-to-market strategy focused on direct sales to enterprise customers while transferring smaller sales and support services to our channel partners including Raymond Corporation and Toyota Industrial Equipment as well as several independent forklift dealers. This approach has allowed us to more efficiently and profitably sell and service our enterprise customers. These relationships act as a force multipliers and remain a critical element of our long term growth strategy to capture market share and drive revenue growth. Our key channel partners enable us to effectively sell and service small and medium businesses as well as expand our reach with enterprise class customers like the aforementioned automotive manufacturer. In fact, approximately 25% of our VMS sales in December were derived from our channel partners. A key to our success going forward is further strengthening our relationships with these strategic channels partners as well as adding new partners to our network. These relationships have become an integral part of our differentiating strategy to capture market share and drive revenue growth. Along those lines a significant opportunity for us in 2016 is further developing our strategic channel partnership with Toyota Industrial Equipment to supplement our direct sales. We spent a large part of 2015 educating and training their dealer sales teams about our solutions as well as implementing after market distribution. Following the initial positive response from customers, Toyota has begun to secure orders for our solutions. We are encouraged by Toyota's early success and will continue to work closely with them to convert and expanding pipeline of opportunities into additional orders. We continue to strengthen our relationship Raymond Corporation, another key channel partner. We experienced increased activity with Raymond during Q4 and already received a series of orders from them in the first quarter. We are working closely with them and their team to build moment throughout 2016. Another recent win was one of the North America's largest truck load carriers for our VeriWise tracking system. That carrier purchased 500 new units adding previously large scale purchase in 2014 and extended the service contracts by three years. Together the new purchases and service extension contracts are valued at 1.2 million. We continue to gain traction with the go-to-market strategy we implemented in Q3, which has resulted in key wins with existing and new customers. So in summary, our operational progress in 2015 and early 2016 have ideally positioned us with the right products, structure, and partners to properly serve the growing industrial Internet of Things market. Now I would like to turn the call back over to Ken.
Ken Ehrman: Thank you, Norm. As mentioned in our press release, we also completed the VAC4 customizations required to track and monitor aviation vehicles for the airline and ground service industry. With two marquee customers now fully operational, we are in the lead position in this unpenetrated market opportunity. We also recently completed the development of our next generation rental car automation solution built upon nearly 15 years of experience in IP and industry, our connected car technology now uses cellular communication to automate the rental and return of cars. With these sizeable investments behind us, we expect to make meaningful progress in 2016 in both of these additional unpenetrated markets. Building on the investments we made in 2015, our company entered this year with a considerably expanded and enhanced product portfolio, order pipeline, and sales channel network, ingredients that will contribute to our short and long term success. Beyond our I.D. Systems' 2.0 strategy, our growth should also accelerate due to significant improvements in the macro environment that directly impact our business, including heightened visibility on the IoT market at the sea level of our customers, a 33% increase in the importance of fleet data systems from forklift trucks from 2014 to 2015 according to the most recent study of DC Velocity. Historically, low cellular cost to communicate IoT data as well as historically broadest cellular coverage as well as competitive pressures in the rental car industry. So looking ahead, our optimized cost structure, stabilized cash position, and financial flexibility as well as our premier customer base position us very nicely for 2016. Our success this year will be measured by our ability to further penetrate our existing customer base and secure new enterprise customers. It will also be measured by our ability to leverage our optimized cost structure. In turn, this will help us achieve our financial goals for 2016, which includes driving revenue growth and achieving non-GAAP profitability for the year. It's time to stop spending our shareholders' money and drive growth on the operating profits that we will obtain through delivering great products to world-class customers. Now with that, we're ready to open the call for your questions. Operator, please provide instructions.
Operator: Thank you. [Operator Instructions] The first question comes from Morris Ajzenman of Griffin Securities. Your line is open.
Morris Ajzenman: Hi, guys.
Ken Ehrman: Hi.
Morris Ajzenman: First question is, in the release you talk about operational progress in the second half of 2015, when you say it sets the stage for strong 2016, can you kind of bracket that what does a strong 2016 mean in your mind vis-à-vis sales and earnings?
Ken Ehrman: To me, a strong 2016 would mean rebuilding the momentum with many of our customers that were impacted by some of the VAC4 issues from last year, utilizing our streamlined infrastructure and cost structure to be able to profitably serve those businesses, and ultimately in 2016 achieve profitability. That's our objective for this year.
Morris Ajzenman: I am just trying to get a handle on the top line specifically, I know you want to get into a [indiscernible] on a non-GAAP basis, but those strong sales, I mean 5% top line growth is moving to [ph] 10%? I mean what would you accept as being minimally acceptable to have a strong top line increase?
Ken Ehrman: No, I would -- just understanding that we we're rebuilding momentum with many of our customers at different speeds, although the good news is that many of them are in a very strong position right now. What that would translate to is they are big companies, so sometimes it might take them a quarter or a two react to all the different improvements that we've provided. So I would think Q1 and Q2 might be at similar, but improving run rates as we saw some great sales in December and January, but really towards the back half of the year as that momentum builds, I would expect it to accelerate significantly.
Morris Ajzenman: And last question, I'll get back in queue; the rental car business, significant progress, does that -- do you expect some sort of rollout through 2016?
Ned Mavrommatis: Well, we are certainly working very hard to achieve that goal. And again, the customers that are involved with that will ultimately make a decision to rollout, but I think we've done everything in our ability to make that a very probable outcome, but we are not the ones that place the order unfortunately, I wish we were. But we certainly have the product and the network to deliver on the requirements, and I think if those customers continue to believe as strongly as they do in the need for that technology, we should have some success there in 2016.
Morris Ajzenman: I'll get back in queue.
Operator: Thank you. The next question is from Josh Nichols of B. Riley. Your line is open.
Josh Nichols: Yes, hey, I just would like a little bit of clarification. I know you stated that you are looking to achieve non-GAAP profitability for the full year. I assume are you referring to each quarter?
Ned Mavrommatis: Well, the statement that we made, Josh, is for the full year. As Ken mentioned at the beginning of the year, the revenue will start to build towards the back half. So we might have some -- we expect to have smaller losses in the first half of the year, but when you look at the overall year in total, we expect non-GAAP profitability.
Josh Nichols: Great. And then, there was a big jump in gross margins in Q4? How do you think gross margins are going to play out as we move through 2016?
Ned Mavrommatis: We have the business plan is in place to drive continuous gross margin improvement. As we continue to add higher margin services, the gross margins of the company will continue to improve throughout the year.
Josh Nichols: Okay. And then, anything you can mention about unit, sales growth, and industrial asset management, and transportation asset management space that you kind of might be targeting for 2016?
Ned Mavrommatis: Well, we had a really good year in 2015. We're excited that we have some significant momentum in the transportation asset area. Our products particularly in container tracking and chassis tracking, we believe are leading the market, and that's an unpenetrated market as compared to dry van and reefer, where there has been a fair amount of penetration over the last decade or so. So we expect to have another good year. I mean with a record year last year and pulling off back to back record year isn't easy, but we had a good year, and we think we are going to have another one.
Josh Nichols: Great. And last question, I know you mentioned that you started receiving a few initial orders from your automotive -- new automotive enterprise customer, anything you could say about how many units those -- how large are the orders in terms of units that you are receiving initially? It's so early stages, I understand.
Ned Mavrommatis: That's correct. It's in the multiple hundreds. So they are fairly significant for early stage, and I think that will even grown before the end of the year to hopefully get to the 1,000 unit level or maybe slightly greater than that for the whole year. But right now it's less than that of course because we're starting the year out, but the momentum there is extremely strong. I was just with that particular automotive manufacturer just last week for a face-to-face visit, and the ROI that they are getting at the plants we are deployed at now is exceptional, and they like that of course and I think that will build momentum throughout 2016. So we are starting a little slow because they are brand new, but I think it's going to pick up some traction because the ROI is very evident to them and they want to capture that.
Josh Nichols: Great. Thank you.
Ken Ehrman: Welcome.
Operator: Thank you. The next question is from Jaeson Schmidt of Lake Street Capital. Your line is open.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Just really quick housekeeping one first, how much of the recurring revenue was from the VMS segment in Q4?
Ned Mavrommatis: The Q4 recurring revenue from VMS was 911,000, which was up 62% compared to the prior year fourth quarter.
Jaeson Schmidt: Oh, okay, perfect. And then could you provide the revenue breakout by segment?
Ned Mavrommatis: Sure. If you look at the fourth quarter, the TAM revenue was 5.1 million, the VMS revenue was 4.8, and rental car contributed 266,000.
Jaeson Schmidt: Okay, thanks. And then just to clarify, should OpEx from Q4's level remain pretty consistent throughout the year? Is that what you indicated?
Ned Mavrommatis: That's correct. Our intent is to keep the operating expense at these levels throughout 2016. As Ken mentioned, we want to transition to profitable growth. So, now we have the optimized cost structure that would allow us to get to profitability as the revenue grows.
Jaeson Schmidt: Oh, okay. And then the last one for me, and I will jump back into queue; it looks like the product gross margin had a pretty steep decline sequentially in Q4, any reason behind that?
Ned Mavrommatis: The product gross margin compared to Q3 went down slightly. It was primarily in the TAM business, because we had some spare parts revenue in the fourth quarter. However, the service gross margin improved significantly, and that's where we saw the improvement in the gross margins, and really our focus right now is to continue building that service revenue, which would allow us to continue increase the overall gross margin of the company.
Jaeson Schmidt: Okay, perfect. Thanks a lot, guys.
Ned Mavrommatis: No problem.
Operator: Thank you. The next question is from William Gibson of ROTH Capital Partners. Your line is open.
William Gibson: Hi. I want to focus on the Transportation Asset Management; you mentioned some spare part sales. I forget what the number was a year ago, was it up for the fourth quarter as well as the year?
Ned Mavrommatis: The revenue for Transportation Asset Management in the fourth was 5.1 million. When you look at the previous year fourth quarter, it was slightly down to 5.4. However, when you look at for the year, the Transportation Asset Management business grew from 18.7 million in 2014 to 21.2 million in 2015.
William Gibson: Okay. Yes, and you talked about the momentum and the opportunities there, but as part of the 2.0 initiative, did you have any pricing changes in the TAM division as well?
Ned Mavrommatis: No, we did not.
William Gibson: Okay, thank you.
Ned Mavrommatis: No problem.
Operator: Thank you. The next question is from Dan Weston of WestCap Management. Your line is now open.
Dan Weston: Yes. Good afternoon guys, thanks for taking the questions. Some of them have been answered. Just some housekeeping; first on the Raymond, I think you mentioned that their business was up with you sequentially. On the last call, I think you mentioned it was $550,000 of revenue. Can you disclose what they were for Q4?
Ned Mavrommatis: 821,000.
Dan Weston: Okay, great. Thanks, Ned. And then on the -- great job by the way, on the operating expense reductions, that's just a real surprise pleasantly, do you have any changes to what your quarterly revenue breakeven would be, based on those reduced expenses?
Ned Mavrommatis: If you look at the fourth quarter and assume the 45% gross margin, the quarterly breakeven point is at a 11.5 million revenue on a non-GAAP basis. As I mentioned before, we expect to see improvement in the gross margin, and as we keep the operating expenses the same and improve the gross margins, the revenue breakeven point would actually get better than the $11.5 million.
Dan Weston: Great, thank you. And then on the airline-related customers, so maybe we could focus on the United customers first, I know that there were some delays there relating to some product issues we talked about, but has there been any changes to the initial -- original agreement that you signed with them either in terms of dollars or rollout time, anything you can comment there would be helpful.
Ken Ehrman: Sure. I mean I can comment, and Norm, if you want to add to it, I'd appreciate it. I have been personally involved with United because of the opportunity size as well as the overall aviation market opportunity size. And right now, where I would say we are with United is we have finally delivered them the promise that we made as far as asset tracking capabilities, and now they are using the system. And basically the ball is in our court to let them help rebuild that momentum. So it's going to take some time. They're a little bit behind maybe where some of the others that we have already rebuilt momentum with. They are kind of at the bottom and going back up. So I do anticipate and we have seen additional business from United since we've got it fully installed and operational, but I would definitely expect that to accelerate in the back half of the year as they continue to use the system and see benefit.
Dan Weston: Got it, I appreciate the color on that, Ken. Are you able to talk about whether or not they produced any revenue that you recorded during Q4?
Ken Ehrman: No, not there in Q4. Q4, we were still getting the system up and running.
Dan Weston: And how about Q1?
Ken Ehrman: Q1, they began to place some small orders, but obviously that's not what we were doing this far. They are definitely in discussions around expanding now, finally to the other airports.
Dan Weston: Very good. The commentary you made on the new customer, the very large global auto manufacturing customer; just to be clear, because I think a month or so ago you announced some follow-on orders with an existing customer. So these orders are totally separate and different from that, correct?
Norm Ellis: That is correct. That was another very large automotive company as well, but not the same one.
Dan Weston: Got it. And I think maybe it was you, Norm, that mentioned that you expect or wouldn't be surprised if that was the biggest single opportunity that your company has in front of it, when do you -- first of all, did I hear that correctly, and second of all, when do you think realistically that customer could become a 10% customer for IDSY?
Norm Ellis: That's a great question. Clearly, the opportunity is in excess of 10,000 units. So it's very, very large. It would be all rolled out, the largest customer we would have. How long will it take? A great question, we are off to a good start, which is wonderful. We've had really no interruption there, like, we did. As an example, at United where we had some challenges. We haven't had those challenges at this particular automotive manufacturer. So that helps keep momentum going forward. As I mentioned, the ROI looks really, really good, and they recognized that. So, again, hard for me to predict, I think we will have a good 2016. I think 2017 will be even better because I think as they get confidence that they can expect the solution, it's not so much that we can roll it out. I think they are confident that we can do that. I think it's on their side and the environment that they are in. Taken in hundreds and hundreds of units into a factory and getting the return on that training, getting their operators up-to-date and all that, I think -- I don't think they are worried about it, but I think they want to prove it to themselves that they can do it. Once they do that a few times, and I think they will do that like I said this year, I think 2017 and 2018 will be fairly significant year because we have what we call playbook that we are using in this particular case, and that playbook defines on their side how to roll it out, and what their plant managers and maintenance operation supervisors and whatnot have to do to really utilize the product effectively. And that's been documented, and we are doing it on the first sites now that are coming out. So I think we will have a good '16 and even a better '17 and '18.
Dan Weston: I appreciate the clarity there, Norm. The last question just for maintenance purposes is, we are obviously seeing a little bit of a masked growth on the VMS side due to the conversion into a SaaS type model. Refresh my memory again, Ned, if you don't mind, what quarter do you anniversary that conversion to Saas?
Ned Mavrommatis: We started the transition in the first quarter of '14. So this is the last quarter that we are seeing sort of this transition. Once we report the first quarter you will see more of an apples-to-apples comparison.
Dan Weston: Very good. Well, congrats again guys on some good progress. I look forward to catching up soon.
Ken Ehrman: Thank you.
Ned Mavrommatis: Thank you.
Operator: Thank you. The next question is from Ray Young [ph] of Dawson [ph] Asset Management. Your line is open.
Unidentified Analyst: Hi, good afternoon. I have a question for Norm, can you comment on the sales pipeline for TAM, as well as VMS? How does that compare to Q3 as well as I guess the year ago?
Norm Ellis: Yes. So, I will start with TAM. The TAM business -- let me mention, had a great 2015. It continues to build momentum. The pipeline is equivalent to what it looked it in 2015. So that's why I think we are going to have another great year. Will we beat '15? We had a great year. So we are going to work hard to beat '15, but it was a pretty good year, but the pipeline looks like quite similar. So I am optimistic that we will be at near or above where we were in 2015, which again was a record. VMS is a little different, because of the challenges we faced in 2015, the pipeline never looked bad, right. It always has looked pretty good, but we couldn't pull it out of the pipe, because we were having the challenges we had. And the good news is we had little or not attrition that I am aware of, so every opportunity that I saw a year ago is still there. So that's good. Now that we have working back for, that's producing the ROIs like it is at the automotive manufacturer we talked about a few minutes ago. It's also doing that at the other people in the pipeline that are in pilot stages or in early rollout that they started in late 2014 or early 2015, and we stumbled because of the quality challenges we had. They are all still there. Nobody is like turn their back and said hey, we are going to go find something else. They were patient with us. We work very hard to maintain good relationship with them, of course, because we wanted to maintain that opportunity. And now as we get stable and the tools that the IDS 2.0 initiative begin to take hold or PowerFleet IQ begins to show the ROI much more clearly to those opportunities, that's where I think, and Ken mentioned, we will see the momentum continue to grow throughout Q1 will be okay. Q2 I think we will get better, and then I think three and four is when we really begin to harvest some of those opportunities that have been sitting there for a while now, but I got to just say that I am thrilled that we had no attrition in that. The direct opportunities that I am focused on in these comments continue to be there, but our partnership with Toyota is growing significantly. That's all that Ford is doing well. They didn't experience as much of the impact as some of the direct customers because they got the product earlier than Toyota did. So we really didn't -- they didn't really feel some of the pain that our direct opportunities did. So that was a good thing in hindsight. And then on Raymond, they still use the VAC3 product, which is our older product, but we are working very closely with them to get back Ford to market, and that will come out later on this year and that will again keep that momentum at Raymond going strong as we anticipate a better year with them than we had in 2015. Hope that answers your question.
Unidentified Analyst: Yes. On the similar line, can you comment also on the conversion rates of the pipeline, and what are your expectations for this year?
Norm Ellis: Yes, that's a good question. We saw some progress in late 2014 on how we quickly we could convert. So at one point, when I first arrived late July or August of 2014, we checked the conversion rate, it was taken six months, five months to convert them. We quickly drilled that down to about 60, 65 days, and then we stumbled on the VMS side with some of the challenges on the product. Of course we went back up to numbers that weren't acceptable because the product wasn't working properly. So I would hope that we will get back into that 60 to 65-day range where we got to -- when we first really focused on it, but depends on the product working properly, and it is which is great. Our ability to execute beyond the product working well is getting installed, getting the customer trained, and IDSY 2.0 has a lot to do with that because we've automated a lot of that, we've simplified it, installation, as an example on VAC4 as an hour versus four hours. So the ability for the customer to receive the ROI and thus get some momentum has greatly improved from where we were a year ago. So I would think the momentum and our ability to convert the pipeline to your point will get better as we continue to execute in the product continues to hold up like it has been.
Unidentified Analyst: Okay, great. I have a question for Ken, for 2016, now should we expect additional sales and marketing partnerships? I know at one point we were talking about potential partnerships with warehouse management systems vendors, is that still in the works?
Ken Ehrman: That's not really a priority right now. Our priority is accelerating the business with our existing customers, as well as putting the right resources on our existing channel partners, and Toyota and Raymond as well as our dealers. But towards the back half of the year, as those allow us to achieve the path to profitability we would certainly look to open up additional channel.
Norm Ellis: Yes, I will add. I think in EMEA, we will see it maybe a little bit more of that, particularly with the forklift OEMs, not so much the WNS partners that you mentioned to Ken, but more traditional channel like Toyota and Raymond are in North America. I think we will see some increased activity in EMEA with some of the larger EMEA OEMs. And I am going over there next week as an example there is a very large tradeshow, where all those folks will be at, I've got meets already prescheduled with some of the largest OEMs in that region, and we are excited about expanding that opportunity there and see where we can drive some our early wins, perhaps in 2016 with them.
Unidentified Analyst: Right, okay. I was a little bit surprised that you're making investment in the car rental business again. For that piece of work, was that paid the company or was that paid by the -- from the potential user or a customer?
Ken Ehrman: Yes, the majority of it was funded by the customer.
Unidentified Analyst: Okay, got you. Great, that's all I have. Thank you.
Ken Ehrman: Thank you.
Ned Mavrommatis: Thank you.
Operator: Thank you. [Operator Instructions] The next question is from Morris Ajzenman of Griffin Securities. Your line is open
Morris Ajzenman: A follow-up to an early question on product sales' gross margins, in the fourth quarter they were 23.5%, and I guess my question is, is that lower level of gross margins a reflection of the VAC4 pricing model?
Ned Mavrommatis: If you look at -- if you break up the product gross margins between the two segments, Morris, the VMS product gross margins are approximately 30%. And that should be consistent going forward with the VAC4 pricing model. The TAM product gross margins were at 15% in the fourth quarter, which were a little bit lower than the 24% in the previous quarter, and that had to do with some spare part sales in the fourth quarter that had lower gross margins. I think what we see, as I mentioned before, what we see really the margins in the 70% both of VMS and TAM is in the service line and that's the focus of ours to continue to grow that, because that's where we are going to get ample traction of the gross margin.
Morris Ajzenman: Okay. And a follow-up to that, on the service gross margins, you were 73.2%, is that little too high, is that sustainable or 7% is more of a reasonable target?
Ned Mavrommatis: I think it's sustainable. I think the goal there is to continue to grow the service revenue, because the significant leverage is definitely sustainable.
Morris Ajzenman: Okay. And last question, again, going back to product sales, sequentially third quarter was 6.9 million, this quarter 5.7 million, anything to point to there, is it timing, why sequential decline?
Ken Ehrman: The biggest reason was, as I mentioned on the previous call, we really got the VAC4 solution stabilize at the end of Q3. So it's really would be more lumpy and associated with only those customers who are buying VAC3 and the timing for them to buy VAC3. So I think I wouldn't really consider that an important point. Although it's clearly a reduction, which I don't like, but overall I would say that's just noise in what was really the end result of having issues with VAC4. They now are behind us. Now that we are into March we are seeing those customers who have installed and purchased that system, seeing benefit, using it, and then when Norm and I go to meetings, and we have both been out on the road significantly, the discussions are now around what their plans are for rollout implementations as opposed to -- we have this issue, and this issue, and that issue. So last year t was about keeping the business and sustaining the customers with the promise of VAC4, this year the promise has been delivered, and now it's going to take some time to rebuild that momentum, but as that happens we should absolutely see the results of -- or approved by labor, so to speak.
Morris Ajzenman: Thank you.
Operator: Thank you. At this time, this concludes our question-and-answer session. I'd like to turn the call back over to Mr. Ken Ehrman for his closing remarks.
Ken Ehrman: Thank you. So as I started, 2015 was a pretty tough year, if you look at it from a high level, I.D. Systems 2.0, the initiatives that we took on probably took us closer to two years as opposed to one year, but we now have the best server stability, the best supplier quality, a much clearer path to ROI, online training, we don't have a backlog of installations, and we completed all of the key R&D projects. So we're pretty excited about that. We believe that as a result, sales will accelerate, as well as our margins, and as far as how that translates for management, we're not going to be getting any bonuses unless we achieve that profitability metrics. So, we all are in this together, and we're going to make it a success, and we appreciate your patience with it.
Operator: Thank you for joining us for today's presentation. You may now disconnect.